Operator: Good morning, everyone, and welcome to the Eastern Company Fourth Quarter Fiscal Year 2024 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Marianne Barr, Treasurer of the Eastern Company. Ma'am, the floor is yours.
Marianne Barr: Good morning, and thank you, everyone, for joining us this morning for a review of the Eastern Company's results for the fourth quarter and full year 2024. With me on the call are Ryan Schroeder, Chief Executive Officer; and Nicholas Vlahos, Chief Financial Officer. The Company issued an earnings press release yesterday after the market closed. If anyone has not yet seen the release, please visit the Investors section of the Company's website, www.easterncompany.com, where you will find the release under financial news. Please note that some of the information you will hear during today's call will consist of forward-looking statements about the Company's future financial performance and business prospects, including, without limitation, statements regarding revenue, gross margin, operating expenses, other income and expenses, taxes and business outlook. These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to review or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties, please refer to risk factors discussed in our SEC filings including Form 10-K filed with the SEC on March 11, 2025, for the fiscal year 2024. In addition, during today's call, we will discuss non-GAAP financial measures that we believe are useful as supplemental measures of Eastern's performance. These non-GAAP measures should be considered in addition to and not as a substitute for, or in isolation from GAAP results. A reconciliation of each of the non-GAAP measures discussed during today's call to the most directly comparable GAAP measure can be found in the earnings press release. With that introduction, I'll turn the call over to Ryan.
Ryan Schroeder: Thank you, Marianne, and good morning to those of you that are joining by phone as well as those participating via the web. It is truly a pleasure to be here today. I'd like to begin my first call as Eastern's CEO by briefly introducing myself to our shareholders and the investment community. As many of you know, I joined Eastern in November of 2024 with a 25-year track record of industrial manufacturing. My experience includes leadership positions at PLASKLOLITE, a global leader in acrylic and polycarbonate sheet products; IMI Norgren, a leading manufacturer of motion and control products and Parker Hannifin, a world leader in motion and control products. Most recently, at PLASKO, as CEO, MY responsibilities encompassed more than 120 product lines and 2,000 employees worldwide. I'd like to share a few early observations that I've seen at the Eastern company. When I joined Eastern, I visited facilities and held a series of in-depth conversations with both customers and employees. Based on those interactions, I saw a promising company with many talented and committed employees in its three core businesses. I was also impressed with the strong brand and first-class products each business has, which clearly resonated with customers. In addition, I saw a company that overall while making progress in improving operating efficiencies, reducing costs and strengthening its gross margins, there's still a ways to go. At the same time, I saw a compelling opportunity to strengthen Eastern's business model, drive revenue and take the company to a higher level. Simply put, my mandate is to grow faster and harder. I strongly believe that by creating a leadership team that combines a strong entrepreneurial spirit with an action-oriented approach and a laser focus on real-time results, we will be able to improve Eastern's results dramatically. I'll share the initial steps in my playbook for optimizing results, operations, achieving long-term growth and increasing shareholder value with you after Nick reviews Eastern's most recent financial results. Nick, over to you.
Nicholas Vlahos: Thanks, Ryan. I'll focus my review today on the Company's financial results from continuing operations for the fourth quarter and full year 2024. For the fourth quarter, net sales increased 4.5% to $66.7 million from $63.8 million in the 2023 period, primarily due to higher truck demand for returnable transport packaging products, partially offset by lower demand for truck accessories and truck mirror assemblies. For the full year, 2024 net sales rose 5% to $272.8 million from $258.9 million in 2023. Our backlog as of December 28, 2024, rose 15.7% to $89.2 million compared to $77.1 million as of December 30, 2023. The increase was primarily driven by increased orders related to the launch of new mirror programs for the Class 8 truck at Velvac, partially offset by a decrease in backlog for returnable packaging products at Big 3. Gross margin as a percentage of sales for the fourth quarter of 2024 was 23% compared to 26.8% in the 28 -- '23 period. The decrease primarily reflected higher material costs in the fourth quarter of 2024 and a favorable adjustment in the LIFO reserve in the 2023 period that did not reoccur in the 2024 period. In the full year 2024, gross margin as a percentage of sales was 24.7% compared to 23.9% in 2023. As a percentage of net sales, product development costs were 1.7% in the fourth quarter of 2024 compared to 2.1% in the 2023 period. For the full year 2024 and 2023, product development cost as a percent of net sales were 1.8% and 2.2%, respectively. Selling and administrative expense increased $1.1 million or 11% in the fourth quarter of 2024 compared to last year's period. The increase was primarily due to higher payroll-related expenses, legal and professional expenses and selling expenses. For the full year, selling and administrative expenses increased $3.1 million or 7.9% to $42.2 million from $39.1 million in 2023, with the increase primarily due to higher payroll-related expenses, legal and professional expenses and travel-related expenses. Other income and expense for the fourth quarter of 2024 was relatively flat when compared to the 2023 period. For the full year, other income and expense decreased $1.2 million due to a $1.6 million favorable adjustment for the final settlement of our swap agreement to Santander in 2023 that did not reoccur in 2024, partially offset by $0.4 million unfavorable working capital adjustment in 2023 related to the sale of the Greenwalt business. Net income for the fourth quarter of 2024 was $1.6 million or $0.26 per diluted share compared to net income of $3.9 million or $0.63 per diluted share for the 2023 period. For the full year 2024, net income increased 12% to $13.2 million or $2.13 per diluted share compared to $11.8 million or $1.88 per diluted share in 2023. Adjusted net income from continuing operations, a non-GAAP measure, for the fourth quarter of 2024 was $2.6 million or $0.42 per diluted share compared to adjusted net income from continuing operations of $3.9 million or $0.63 per diluted share for the prior year period. For the full year 2024, adjusted net income from continuing operations was $14.2 million or $2.29 per diluted share compared to $13.4 million or $2.14 per diluted share for 2023. At the end of Q4 2024, our senior net leverage ratio was 1.23.1 compared to 1.36:1 at the end of the third quarter and 1.41:1 at the end of 2023. In addition, we invested $9.7 million in capital expenditures and paid dividends of $2.7 million in fiscal 2024. As of December 28, 2024, inventories totaled $55.2 million, down $3.2 million from the end of fiscal 2023. During the fourth quarter of 2024, we repurchased 39,000 shares of common stock under the share repurchase program Eastern's Board authorized in August 2023, bringing us to a total of approximately 150,000 shares repurchased under the buyback program. That completes my financial review. I'll now turn the call back to Ryan.
Ryan Schroeder: Thank you, Nick. As I mentioned earlier, my primary goal after arriving to Eastern was to make sure that all of our businesses have leaders with a strong entrepreneurial spirit and action-oriented methodology and a laser focus on the real-time results. To that end, we brought in new leadership at two of the Company's three businesses. In December of 2024, we appointed Zach Gorny as President of Eberhard Manufacturing. Zach's mandate is to create a commercial and product development organization that will capitalize on Eberhard's strong brand in the industry in alignment with its operational excellence. I worked with Zach twice in the past at IMI Norgen and Parker Hannifin and have seen his capabilities firsthand. So I'm very pleased to have Zach on board. In January of 2025, recognizing internal talent, we promoted Emilio Ruffalo to President of Big 3 Precision Products. Emilio was previously at Eberhard, where he served as Senior Director, Global Operations for several years. In that capacity, he helped drive the significant operational improvements at Eberhard enjoys today. At Big 3, Emilion is now implementing a comprehensive plan to streamline processes, improve performance grow revenue and increase profitability throughout the business. At Eastern's third business, Velvac, we have been very pleased with the accomplishments of our existing President, Dan McGrew. Dan has decades of experience with strategic planning and as a lean expert. He personally led a remarkable acceleration in -- production in 2024 that strengthened Velvac's position with its core customers and significantly improved results. We look forward to the continuation of that stellar track record in the coming years. Looking into 2025 and beyond, our focus will be on continuous improvement and commercial excellence within each of the Eastern's businesses. We have adopted a more decentralized approach under which Eastern's operating businesses will all be driving their own agendas to meet their customers' needs, receiving the tools and support they need for success from our executive team. Together, we are developing renewed strategies as well as focused on -- as well as focused and action-oriented teams supported by the foundation of a high-performance culture. Before finishing my prepared remarks today, I want to emphasize that given today's business environment, all of the Eastern's businesses have been hard at work developing nimble supply chains, Big 3, Eberhard and Velvac, can each present their customers with multiple sourcing options to address concerns such as costs made in America, lead times and tariffs. Operationally, each business is headquartered in the United States with manufacturing in the U.S., Mexico and China. All three leadership teams are well equipped to manage tariffs and pricing fluctuations in the short term while redirecting our supply chains in the long term as needed. They have led businesses through COVID-19, previous rounds in tariffs and are ready with an experienced playbook. At this point, let's start our Q&A session with a shareholder question we received after yesterday's earnings announcement that I think will be of interest to everyone. So the question is this, your earnings announcement said that you'd like to enhance Eastern's product development activities and expand its businesses market share by selling more complete set of products. Can you give us some more specifics around those? So to that end, I'll say this, both at Velvac and at Eberhard, we've seen some real opportunities for product expansion. Specific to Velvac and there's certainly that at Big 3 as well, but I'm going to focus on this -- answer on those 2. At Velvac, we've seen real significant opportunities with our aftermarket business where we serve our customers and distributors better than really anyone else in the marketplace. So the question really is, what other products could we put through that same supply chain and serve those customers better than, say, the competition would. So going through a comprehensive process, a strategic plan where we're identifying what products we might be able to pick up and run through there is a key initiative for Velvac that they're undergoing actually today to be clear. On the Eberhard side, like I said in my remarks, it's clear that they have a really good brand and reputation in the markets that they serve. Some of their products need upgraded. In other cases, they need maybe electrified. And then there's some tangential opportunity since we have such a strong presence within the markets we serve. So understanding what we want to go and do there and having a robust and solid process to make sure what goes in one side comes out the other as a successful launch product is a really key initiative from Zach. Zach has a great track record of doing that in the past, and that's why we're so happy to have him and brought him to Eberhard. So with that, I'll turn it back over to the operator for additional questions.
Operator: [Operator Instructions] And I can hand to Ryan or Nick to have a look at the Q&A on the webcast, if there's any.
Nicholas Vlahos: Yes, sure. We have a question coming in on the web. And the question is, are you able to pass through cost increases to your customers. And for us, we want to work with our customers and partner with our customers. So we are able to pass down those cost increases, but we are sensitive to our customers' needs as well, and we will continue to work with them for what solution is best for their individual environment. And no further questions are coming in on the web.
Operator: Okay. I will now have a check to see if we've got anyone in the queue at the moment on the phone lines. I can't see anyone just at the moment. [Operator Instructions] Yes, we have a question just come in from Ross Davisson at Banneton Capital. Ross, your line is live. Ross can you hear us?
Ross Davisson: Apologies guys, I was on mute. Here I am. Hi Nick. Thanks for taking the question. I was curious if you could just comment on sort of the overall market, I guess, specifically maybe for Class 8 for a lot of your business. What are you seeing? And I guess, as you think about the future, maybe the next year, obviously, nobody has a crystal ball, but maybe you could highlight if any reasons why you would expect Eastern opportunities in 2025 to differ from the market? In other words, like where you might see opportunities to gain share as an example?
Ryan Schroeder: Sure. So yes. So in terms of the Class 8 market, primarily that's served in terms of Eastern companies through Velvac and mainly through Mirrors. So we have a very significant market share. I'm happy to report on the Mirror market. So on the OE side, our business will track very closely to what production looks like with the exception of places where we've taken market share with new products. I'm happy to report the team has done that this year. So we're just launching a new Mirror platform that is very significant for us that we've taken and are transitioning into production as we speak. So that one will be an incremental improvement compared to the market I'm happy to say. And then I touched on our aftermarket side of the business. That tends not to track the Class 8 build market and actually at times it can track the opposite. So that's been -- we've taken -- we've seen growth in that market, but the market itself as a whole has been fairly flat. We're forecasting on that aftermarket side of things to continue to grow that business significantly faster than the market overall is growing. And then on the Eberhard side of things, we do supply products that go into the sleeper cab mainly on the Class 8 truck market. So those build rates tend to fluctuate to us significantly. And over this last year, those were down fairly significantly and have been compressed for, I'd say, maybe the last 1.5 years. So we're forecasting some improvement there. We think there is a demand that's built up there and that could break loose. And then also, we watch very, very closely the emissions requirements and changes that are coming out in a couple of years from now. And often, there's a buildup in the Class 8 market ahead of those emissions changes. So we'll have to see if there's something that the administration changes there. If they pull back on that, it's simply just more of a level loading of the build rate, which is probably good for most manufacturers overall. Thank you. Thanks for the question.
Ross Davisson: Yes. So versus the prebuy. If they change that, you just wouldn't see that, but you'd see a more steady build is what you'd expect.
Ryan Schroeder: Yes, exactly.
Ross Davisson: Got it. Okay. Thanks very much.
Operator: Thank you very much. [Operator Instructions] Okay, we seem to have reached the end of our question-and-answer session. I will now turn the call back over to Ryan for any closing remarks.
Ryan Schroeder: Thanks again for joining us this morning. As you've heard, we've taken many steps to strengthen Eastern's leadership team reset and enhance our strategic growth plans for our businesses and prepare to execute faster and more effectively. We look forward to giving you an update on our progress over the first quarter. If you need any additional information in the meantime, please reach out to us. Thank you.
Operator: Thank you very much, everyone. That does conclude today's conference. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.